Operator: â¦investor conference call. At this time, I'd like to have our forward-looking statement read.
Unidentified Company Representative: The remarks made at this conference may include forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. We intend all forward-looking statements to be covered by the Safe Harbor provisions contained in the Private Securities Litigation Reform Act of 1995 and are including the statement for the purposes of invoking these Safe Harbor provisions. Forward-looking statements involve significant risks and uncertainties and are based on assumptions that may or may not occur. They are often identifiable by the use of the words believe, expect, intend, anticipate, estimate, project, plan or similar expressions. Our ability to predict results or the actual effects of our plans and strategies is inherently uncertain, and actual results may differ from those predicted. For further details on the risks and uncertainties that could impact our financial condition and results of operation, please consult the forward-looking statements declarations and the risk factors we have included in our reports to the SEC. These risks and uncertainties should be considered in evaluating forward-looking statements. We do not undertake any obligation to update any forward-looking statements in the future. And now Iâll turn the call over to Chairman and CEO, Mr. F. Morgan Gasior.
F. Morgan Gasior: Thank you. Well at this time all filings are complete for the second quarter. Iâd like to note that we updated our investor presentation and that is also on the website for anyone whoâs interested in taking a look. Just a short note on July so far, weâre off to a good solid month, loan portfolio grew a little bit. We also put somebody to work in securities again as we did in the second quarter and the CFO will talk a little bit about that along with some further margin expansion. But other than that, we're ready for ready for questions.
Operator: Thank you sir.  Our first question will come from Manuel Navas of D.A. Davidson Company. Your line is open.
Manuel Navas: Hey, good morning.
F. Morgan Gasior: Good morning.
Manuel Navas: Hey, growth was pretty strong and just wanted to get a little more color on the different loan segments that drove it. Especially multifamily, had some nice origination in there and just kind of thoughts going into the second half of the year.
F. Morgan Gasior: Sure. Mostly, we had a pretty good contributions up across the board in the loan portfolio in second quarter. Multifamily, certainly very strong, both in the Chicago market and in our other markets. Those pipelines continue into third quarter. Right now we're working through the usual underwriting processes which take a little bit longer than they used to, between appraisal and title and environmental and things but we have good pipelines going into the second to the third quarter for multifamily. And even we saw some commercial real estate transactions that we liked here in the Chicago market. And we have a couple now in the pipeline we'd like as much for third quarter. So I would say overall, we liked what we saw in multifamily and, and we see a good pipeline going into third quarter. Equipment finance also did well. We had some ketchup from first quarter that we're able to get done in second quarter. Second quarter was a bit of a barbell. We had a really good April and then things were quiet and quieter in May. And then June turned out to be very strong. So that that worked out well across the board. And again, we had good contributions from government in the second quarter middle market in the second quarter small ticket in the second quarter. Our corporate department has been lagging now and we added some new leadership in the equipment finance corporate at the very end the second quarter. And we've recently added another very experienced corporate equipment finance banker here just in the last week or so. So we're hoping to see some stronger contributions from corporate in the second half of the year. And I'll talk a little bit about that in a minute. Commercial finance also contributed, we had some pay downs in the healthcare portfolio. Otherwise, we would have probably seen even stronger results for the second quarter. And we're seeing healthcare still be a bit volatile, but they're up again this this month. And we think as time goes on, and liquidity continues to, to diminish, then we'll see some stronger contributions in healthcare. This time of the year in healthcare, especially in the residential healthcare portfolio. There, censuses typically are a little lighter, they typically have a stronger census in the colder months, for obvious reasons, and, and therefore, their dry activity is a little bit lighter in the summertime compared to the winter. So the fact that we're seeing a little bit of dry activity now is potentially a good sign. And then going forward on those pipelines, I would say generally, our goal is for third quarter, we'd like to see if we get the loan portfolio to $1.175 billion . We have a heavy payment schedule in equipment finance, particularly in government, just in third quarter, it's the fiscal year end for the federal government. So we typically see scheduled payments in that quarter higher than the average for the remaining quarters. And then on a gross basis, we'd like to see the loan portfolio push north of a billion to if we were at $1.215 billion. In other words, another $40 million over and above third quarter, we'd like that. If the corporate department and commercial finance continue to grow their pipelines, then I could see us pushing north of that, but $1.215 billion, $1.225  billion we consider that a pretty good year, anything north of that would be a great year for us. And again, the mix, I would say will be relatively consistent third quarter, you'll see more contribution from real estate. Fourth quarter, I'd see it shifting a little bit to equipment finance and commercial finance. Part of it, we'll have to see what the rate environment is for multifamily in the fourth quarter, obviously rates have come down in the middle part of the curve that may result in fewer customers wanting to jump into a rate now they may think rates are going to retrace a bit and they want to wait on a refinance. So that could have a chilling effect on real estate. But net-net if we could get to $1.175 billion at the end of third quarter, and a north of $1.2 billion, $1.215 billion at the end of fourth or better, that would be good momentum to carry into 2023.
Manuel Navas: That that's really helpful. Is that that's actually interesting that you're still so strong to fourth quarter is any feelings of caution starting to creep in with higher rates are just you're seeing the pipeline's there. So there's some confidence.
F. Morgan Gasior: About 75% of the activity, maybe even a little higher. In the second quarter, we're refinances people trying to lock in a good rate. Especially when they saw the middle part, the five and 10 year part of the curve move up so substantially. And so we're seeing about the same thing, coming into third quarter, still 60%, 65% 70% refinances. And that's why I said, I could see some people. In fourth quarter, if rates were to continue to retrace downward, you could see some people who wanted to wait and see maybe rates will be lower in the early part of year, I'll just, I'll just wait and see what happens. So that's why a little bit of caution as far as volumes are concerned in real estate, because it's still very rate driven. And we also noted our competitors, particularly Freddie Mac, continue to get aggressive on rates from time to time to hit their volumes. But all-in-all, we had a good second quarter. We have reasonable pipelines going into third quarter and I think fourth quarter would not surprise me to see that the volumes dropped out a little bit. But you never know. We've got good marketing outreach going on. People might look at the rate environment say this is a good place to lock in, even if I could get 25 basis points less someday I -- the upside the ability to lock in now and protect against a significant move up in rates in 2023 or late 2022 might get them off the get them off the middle ground and get them into a refinance. Purchases, the properties are still at or near all-time highs. We have seen some properties now appraise out like people thought they would. So there is some, I think topping of that even though rents continue to increase some of the expenses, particularly taxes. So all told him real estate, we were having a good run. If rates, head north of 3%, I think that gives us some room to work the refinance market in the five and 10 year, tenors and then we've got the products in the outreach to capitalize on that if that happens. If rates are in the mid twos, then I think you might see some people remain on the sideline.
Manuel Navas: Can you give a little bit of early guidance on some of that net expansion years, I think you're seeing already here in July, you've previously talked about a spread of a gain of 1 million to 1.5 million in NII per 50 basis point hike, does that still hold? Just kind of your thoughts on the new term NIM.
Paul Cloutier: Manuel, actually, it's expanded now with the recent 75 basis point hike, our annualized net interest margin grew by about $2.5 million. So it really depends on where the industry goes with the positive pricing. We've made some tweaks in terms of our deposit pricing, but not really moved much in the industry seems to be in the same place right now. And if that continues, then I could see let's say the next rate hike, that's 50 basis points, should probably expand the net interest margin, I would imagine another couple of million dollars.
F. Morgan Gasior: So we started the quarter at a net interest margin of 3.330 . And as of the end of July, we're at 3.50. With the loan growth we're talking about, and again, the deposit costs be in the wildcard, our goal would be to see if we can stabilize net interest margin consistently, right around 3.75. And if we can, even in even in even in a rising rate environment under deposit costs, can if we can, that just gives us some solid growth opportunity. One is we continue to put excess cash to work in loans. And then late next year, as we see the securities portfolio mature, we'll be able to redeploy those proceeds in substantially higher yields. And again, we see an ability to support that. So a broad range of 350 on the low side, I think it would be we'd have to have a really optimum mix and almost no, no growth in deposit interest expense to get the 4%. But if we can do right around 3.73, 3.75,  we're pretty happy over the next 6 months to 12 months.
Manuel Navas: Just to be clear, you said you're at 3.50  here in July with minimal deposit increases. And that doesn't yet include the 75 basis points in July priced in correct. So there should be another bump and they get to 3.70, 3.75 â¦
Paul Cloutier: The 3.50 was adjusted for the increase in July.
Manuel Navas: Okay, got it. All right. That's helpful. And then thereâs rate increase 3.75 if thereâs a couple more.
F. Morgan Gasior: Yes, that's how we see it.
Manuel Navas: Okay, that's really helpful. I'll step back now. I appreciate the responses.
Operator: Thank you.  One moment for our next question. And our next question comes from Jaime Gaza . Your line is open.
Unidentified Analyst: Yes. Thank you, Jaime Gaza, private investor. Congrats on the strong quarter. I think you addressed some of my questions. So I was unable to join last quarter, but I heard the replay and I think you had mentioned that part of the liquidity that you had kept at the Fed was based on your -- the projected that rates were going to go up, so you don't want to lock it in. It appears you did take some of that liquidity and put it into treasuries I suspect they're more short term but is there the goals that you just mentioned is that also considering rebalancing some of the portfolio as we kind of get into a an environment where we might not see more moves and locking in some longer rates. And then, I suspect your betas I thought you did great on like most of the other banks that I've analyzed on the betas are certainly right now not showing large increases. But the question would be really around, are you planning on continuing to take some liquidity and going a little longer on the investment portfolio, given the goals, you've already stated for the loan portfolio?
F. Morgan Gasior: Well, certainly, we saw an opportunity to put liquidity work in the securities in second quarter, and now again, in third quarter. So in second quarter, we put just under 30 million to work with about a two year average life at an average yield of around 330  . And then in July, we put a little over 20 million to work at about 320  with about a 12 to 13 month term. So at the moment, I would say if we see, shorter tenure, shorter tenor yields, climb back north of 3%, that starts looking a little attractive, we've also balanced out our maturities, read pretty much month by month, all the way out to 2024, 2025. So when we were looking at July, we saw an opportunity to put something to work relatively short term. And we took it so we'll just have to watch and see how rates are, it's somewhat unusual to see this level of inflation, apparently aggressive fed, quantitative tightening, and rates coming down. Usually those combinations don't necessarily happen at the same time, they may continue. But they may retrace, so we'll watch and see. As far as extending out duration. We think that our first priority, our first preference, would be to do so in the equipment finance portfolio, both on the government side, and on the corporate side. The benefits of doing so, one, we're just getting a higher overall yield on the assets compared to Treasury, two those credits, amortize. So you can push the duration out a bit, but you're still getting cash back over time. So if the rate environment continues to increase, then you can take advantage of those cash flows also managing liquidity from a deposit and a balance sheet perspective at the same time. If rates were to drop, well, then we got the benefit of some extended duration. But we also did so and what I would call a credit, credit sensitive way, if we're putting the extension rid of putting the duration extension risk in government and in an investment grade corporate, then we're accepting a certain amount of interest rate risk. But we're not really given up anything on the credit risk to speak of. So recently, we work with one of our customers on a state transaction, they want to go out a little bit further than the normal two or three years, it's essential use assets, long duration agreements, we feel comfortable with that even with a certain amount of additional non appropriations risk. But those, that particular transaction is not a monthly payment. So we can go out a little bit further, we're still getting the cash back over a reasonable period of time, and are kind of the best of both worlds from a credit risk and asset liability risk perspective, and picks up a little bit of earnings over and above the treasuries at the same time.
Unidentified Analyst: Thank you, and just as a follow up to that, I mean, certainly can see the yields on C&I and CRE go up from the prior quarter. Now, are you, I suspect there's there's a mix of fixed and floating there. Because if it was mostly floating, I would have expected a little higher unless credit spreads changed. But do you have any is your index that's floating still pretty much prime or do you have any softer exposure?
F. Morgan Gasior: Right now we're all indexed to prime customers understand it, it makes it simple from a controls perspective.
Unidentified Analyst: Totally agree. Okay. Thank you.
Operator: Thank you. One moment for our next question. Our next question will come from Brian Martin of Janney Montgomery. Your line is open.
Brian Martin: Hey, good morning, guys.
F. Morgan Gasior: Good morning Brian.
Brian Martin: Hey just, Morgan. Maybe Paul just going back to the margin for just one moment, the 75 that we just got in July that sounds like the number Morgan mentioned the 350 margin that's fully baked in with that, is that right? And on the 75 basis points or 350 margin is kind of fully baked in there.
F. Morgan Gasior: Yes. The annualized 350 margin took into consideration the Fed rate hike in July.
Brian Martin: Okay. In June. So the -- and then -- so your comments about just kind of the next potential increase. If you got a 50 basis point increase, what -- maybe I missed what you said there as far as what the add to margin prospectively on the next 50 basis points would do?
Paul Cloutier: Think conservatively $2 million, maybe a little higher, but that's considering no adjustments or minimal adjustments to deposits.
Brian Martin: Okay. So that the $2 million would be the benefit was basically no beta -- no deposit beta.
Paul Cloutier: Minimal deposit beta, yes.
Brian Martin: Okay -- go ahead. I'm sorry.
F. Morgan Gasior: And of course, to the extent we're able to put some cash back to work in loans, then we'll see some further expansion on top of that, just taking it out of the cash account. And again, we're seeing a reasonably good mix so far in July. Our yield on originations for July was approximately 5.6%. And that was a reasonable mix of assets. We have some decent opportunities right now in commercial finance, and we're repricing the middle market portfolio up a bit. So 5, 6 was a good number for us. And if we're able to roll assets and pick up a couple of hundred points at least, from cash into loans, then they will add a further contribution for third quarter and then going into fourth quarter.
Brian Martin: Got you. Okay. And as far as the investments, you guys upped the investments this quarter, what -- I think you said quarter-to-date, you've done a little bit more. Can you just give a little color on what I guess, you're kind of done with given the outlook for loan growth, I guess, is it -- is there much more to do from the investment standpoint? Or kind of how are you thinking about that going forward?
F. Morgan Gasior: Well, in terms of volume, as I said, if we see opportunities to get into the mid-3s, 3 25 or better in a relatively short duration basis, that starts looking a little attractive. Just pushing it forward, I probably would see the securities portfolio maybe getting to $200 million, maybe not quite much more than that. But again, that opportunity presented itself between now and year-end, we would certainly take a hard look at it, but I would say probably $200 million on the high end is what we think about right now. Obviously if loan growth slows down and particularly, say, in the real estate portfolio and those yields are still available in the mid-3s in the security side again, we would not necessarily roll that out. But as far as July activity, Paul, why don't you pick that up?
Paul Cloutier: Yes. We saw spreads move out on the agency side. So we did about $23 million in July, of which $13 million was treasuries and $10 million were agencies. And as Morgan mentioned, we got a weighted average yield on that of 3 25 right in that range.
Brian Martin: Got you. Okay. That's helpful. In the loan growth, and I guess, Morgan, your comments about kind of where you think things trending at least where you'd like to be by year-end. I guess, it sounds like those are doable even with kind of the real estate, maybe not being great. Is that fair? Or I guess, is it -- is that kind of couch  that maybe it's a little bit less...
F. Morgan Gasior: I think real estate will help us push to $1.175 billion in the third quarter. And then it's just hard to forecast it going forward. We'll certainly see activity, but it's hard to say how much right now. And obviously, if rates retrace, you could potentially see some prepayments, but the prepayments we're seeing are almost exclusively sales of buildings. People just realize harvesting profits and moving on. So -- but I think the $1.215 billion will largely be equipment finance and commercial finance with some support from real estate. I think that's how we probably get there, especially if our corporate side can contribute in the second half more strongly than it did in the first half. And if that takes hold, especially if you also get a little help from government in the fourth quarter, like we have before, but I think all those things are feasible. So that's why we're not necessarily saying we're going to have $60 million or $70 million of growth per quarter because we don't know that real estate is sustainable at the level it was in the second quarter, but it still should contribute. We've added some banker support in a new market here recently both in Chicago and in other markets in the Carolinas. So we will continue to see some support from it, probably just not at the pace we saw in the second quarter. So like I said, if we got to $1.175 billion at the end of the third quarter, $1.215 billion or better at the end of the fourth quarter, we feel like we had a pretty good 2022 and have set it up well for 2023.
Brian Martin: Got you. And Morgan, the people you hired, can you just give a little background on what areas you added people to? It sounds like a couple of people maybe added this quarter.
F. Morgan Gasior: Yes. We had a leadership in equipment finance, corporate and a strong banker in that department as well, somebody we've known for a while working for actually a customer of ours, a lessor. And then they actually worked for a competitor of ours most recently. So we've got some much greater strength than we've had in corporate equipment finance, and we're looking forward to getting out there. And pushing that originations rate up from what it's been over the last 6 to 12 months. And then we added some strength in the multifamily space, both here in Chicago and in the Carolinas. And so that gives us some opportunities to penetrate some markets in the western suburbs that we want to do some more work in out in the  county areas, a lot of our product out there. And now we have somebody who's very accustomed to working in those markets, kind of rounds us out in Chicago a little bit too. So with those, we like the markets we're in. We like the people we added and then we'll go from there. We're looking to expand commercial finance a little bit too, but we haven't put any board yet. I think that will likely be a fourth quarter move to strengthen us further in 2023, but we're seeing some pipeline opportunities. I wouldn't say they're done deals yet in commercial finance and also in government finance. So if the leadership there can bring those in and we get some momentum, it will be time to add some depth of those departments and build on that.
Brian Martin: Got you. Okay. No, that's helpful. It sounds like with some good opportunities there. And just the -- maybe last two for me was just on the expense side with some of the people you've hired, any change in the expense kind of outlook just in general for the next couple of quarters or into next year just...
F. Morgan Gasior: Well, on the compensation side, we continue to work through performance reviews. So there will be some people remaining and some people not. We'll also have to put some money away for incentive payments as loan production continues. So there'll be a little volatility there, but I don't think it would materially take us off of track on expenses. We will put some more money into marketing given the markets and the opportunity we have. We have to continue to broaden the awareness and product awareness out there, especially in the newer markets. But I think expenses should generally remain within a range of what we've talked about before. On the occupancy side, we will continue to refine the footprint. We opened up our Flossmoor office here in July. That office is one quarter of the size of the Hazel Crest office. We're seeing some good adoption by the Hazel Crest customers. And I think there may be an opportunity to continue to reduce the square footage for customer service and then keep customers really happy with it. So we're off to a -- it's early, but we're off to a good start there. Everybody  has worked hard to get that to that point. And if we can continue to evolve that, then hopefully, we see our occupancy expenses trend down a bit and then remain at that lower level.
Brian Martin: Got you. Okay. That's helpful. So still pretty similar to being kind of flat for the year and then up in 2023. And then just maybe the kind of the outlook, given the growth you're expecting by maybe more on the equipment finance side. Maybe just talk about kind of how to think about the reserve levels as we go forward. I mean credit looks great. So just appears to be funding really provisioning really for new growth, which maybe is in the more commercial oriented areas.
F. Morgan Gasior: Yes. Before we leave expenses, probably the one note is, we may see a little bit of expense on the compensation side due to deposits. We're running thin in some of the branch facilities just because of labor markets generally. We're making it work, but we have a couple of holes that we'd like to build, especially on the sales side in the branch operations that relate to businesses. One of our key goals is to keep growing the commercial deposit accounts and our business finance community finance products with the small businesses. So I could see a little bit there. But again, it won't take us materially off of our trail, but we want to add some strength to that function and continue to grow the lower-cost commercial deposits. As far as provisions are concerned, I would say, again, the -- if the mix, especially in, say fourth quarter leans towards corporate investment grade government, you're going to get a lower provision rate either those, especially if the growth is material. And then, to some degree, middle market and small ticket are higher reserves. So net-net, if you saw that we did something like 63, 64 points in the second quarter, without a real estate component that might still be 65, 70, 75 because of the weighting between government, corporate, middle market and small ticket, it will just be rolled out. But the dollars in government and corporate would be larger therefore, it would skew to a little bit lower provision. Now if you add some strength in commercial finance and health care and government finance, then that might skew it up into the 75, 80, 85 range. But if I had to say net-net, I'd probably say 70 basis points seems like a good place, might be in the lower 60s, might be in the higher 70s. But somewhere in that 65, 70 range seems like a safe place to forecast.
Brian Martin: Got you. Okay. And no change to your -- I guess, the outlook, Morgan, as far as kind of where you think the EPS kind of ramp up to or kind of how you're thinking about that or the profitability, I guess, just in general?
F. Morgan Gasior: Well, first of all, I think we're in a position now where our goal for third quarter and fourth quarter is to sustain right around $0.23 to $0.26 a share. So try to get that dollar per share for third quarter and fourth quarter. And then building into next year, the goal would shift to the -- getting into the 30s -- somewhere between $0.30 and $0.34. That wouldn't require a couple of things: That would require continued loan growth, maybe not quite as fast as we've been doing in the second quarter in 2022 overall. But somehow, probably a little bit a little bit of mix more towards the commercial finance side a little bit of help on non-interest income. And then obviously, deposit interest expense is going to be the wildcard there. But right now, if we can stabilize $0.23 to $0.25 a share third quarter, fourth quarter, right on that bucket share, then move into the over bank of share, maybe some between $1.10, $1.20 on the outside, those are the next steps ahead.
Brian Martin: Got you. Okay. And then just the buyback, I think you guys recently change to that, but just still a pretty modest outlook as far as what you do on the share repurchase front?
F. Morgan Gasior: Well fortunately, we have more flexibility from the regulatory side than we did in the first part of the year. So the Board was comfortable with increasing the overall level of the buy back. But I will also say that given where we're trading as a discount to book, I would think it would be predictable to see us get more aggressive here even in the third quarter and get that share countdown to 13 million for example, because of where we're trading. Obviously, if we start trading higher then ratably, that might come down a little bit. But where we're at right now, it seems like a reasonably good time to take advantage of where the markets have in that context and be more aggressive. So would we get all the way to 225,000 shares in one quarter? Probably not. We can only buy a certain amount of shares per day and we've been having relatively light trading volumes. So under that math, I'd say 150,000 shares, 175 seems reasonable for the third quarter. If the block shows up, maybe a little bit more, but then we'll take another look at it at the end of the quarter and then the Board will make another decision. But again, we'll have some more resources available for this. We'll take it a quarter at a time, but this seems like given the resources available to us and fewer constraints on the regulatory side, it seems like a good time to jump in and get some shares.
Brian Martin: No, it makes a lot of sense, especially with the outlook where you're at today, a lot of good things happening. So okay. I appreciate the update and congrats on a nice quarter, guys.
F. Morgan Gasior: Thank you. Appreciate your interest.
Operator: Thank you. One moment for our next question. Our next question is coming up. Next, we have Ross Haberman of RLH Investments. Your line is open.
Ross Haberman: Good morning, Morgan. How are you?
F. Morgan Gasior: Good, Ross. How have you been?
Ross Haberman: I just have one quick question. I applaud you with those earnings aspirations. The allowance, could you touch upon that? It looks superficially low at 60-some-odd basis points in aggregate. What -- tell me why you believe it's conservative and/or you and like everyone else, I guess, are going to adopt the CECL, but the first week of -- the first quarter of 2023. Tell us how why you don't think you're going to shock us with a multimillion dollar adjustment based on CECL? And what you're currently reserving for commercial real estate loans? Thank you.
F. Morgan Gasior: Okay. Well, let's work through that. First, if you look at the composition of the loan portfolio as a whole, 97.6% is commercial and a very small proportion is residential. Within the commercial portfolio, we do not have construction loans. So compare us to peers where the construction loan portfolios are reserved or at least they should be reserved well in excess of 100 points and that's a key distinction. Now by contrast, we got $200 million in equipment finance to governments, whether it's the federal government or state or local governments, but that is a pretty low-risk portfolio. Add another $75 million for our equipment finance investment-grade corporate and another $70 million for corporate others, so BB rated credits and you have a very strong equipment finance portfolio that does not require very much in the way of reserves. And that's historically been borne out by the loss ratios over quite a period of time. In the great Recession and in terms of that portfolio has traditionally performed very well. Then if you look at the multifamily portfolio, the weighted average debt service on the multifamily portfolio is 1 8 with a 52% loan-to-value ratio as of 6 30. And again, over many, many years that multifamily portfolio, particularly the A notes have performed extremely well. And that number is somewhere in the neighborhood of $400 million. So you quickly get to the point where you've got a very, very strong loan portfolio within the commercial side. The balances are significant at the moment, but in the health care portfolio, that's $25 million, $30 million in balances, but those are monitored credits with field audits, borrowing base certificates and those are government's Medicaid, Medicare driven pay receivables. So what we've tried to do across the board is build the strongest loan portfolio we can do that is still consistent with accepting enough risk to drive our financial results, but no more risk than we need to. So that's how we've never had a problem supporting the reserve at these levels, if anything, it's harder to support it at higher levels. Now as time goes on, we do more of the medium risk assets, the middle market, small ticket equipment finance, commercial finance, government finance, even the small business credits and the community finance area, then you'll see that reserve ratio trend up over time. And that's why we said earlier, we might see 75, 80 points, something like that through the mix of the portfolio. But the results have -- the loss ratio results have supported themselves over many years. And even if you compare us to some local peers, you see a large company in the $50 billion range have a very similar reserve. I might argue their risk profile is a little more aggressive than ours, but it's not unusual. It's not completely unknown to see it. As far as CECL is concerned, it's a little early to be talking about that, but the preliminary thinking we have right now is the loan portfolio is very short duration. The equipment finance portfolio short duration. The C&I portfolio is short duration, even when you apply a reasonable prepayment ratio to the multifamily portfolio, that turns out to be a reasonably short duration. Just look what happened to us in 2019 and 2020 in terms of prepayments to support that point. So we think at the end of the day, the CECL impact is likely to be modest and especially if the duration of the portfolio continues to shorten. And it will, as we do more and more variable rate floating lines of credit as opposed to fixed term assets in the multi portfolio. And then finally, to your question on commercial real estate, I think that Paul the reserve ratio is something a little bit over 100, something like that?
Paul Cloutier: The CRE, both the non-residential and multifamily taken together, it is under 100 basis points because of what you mentioned with the A notes on the multifamily side.
F. Morgan Gasior: But if it's just CRI, think we're over 100 
Paul Cloutier: That piece of the portfolio is like 93, 95.
F. Morgan Gasior: Yes. So to your question, Ross, the commercial real estate portfolio is probably right at or just under 100 points. Again, that's a pretty conservatively underwritten portfolio. After everybody went through the Great Recession, we decided that multifamily was by far the better performing asset. But to the extent we see customers and opportunities and Chicago with commercial estate with well underwritten properties, we'll certainly take advantage of it. And that's why multifamilies around 65, 70 points on maybe even a little less on reserves, commercial data is proportionately higher in the 90s or just touching 100.
Ross Haberman: Just. one follow-up regarding the CECL, are you running a parallel program today and I don't know if you can touch upon are you close to what that hypothetical number would be today based on your parallel scenarios?
F. Morgan Gasior: Yes, we're starting to run a parallel and no, we're not ready yet to talk about the differences yet. We're not firing off along in the testing.
Ross Haberman: Okay. Thank you. Best of luck. I appreciate it.
F. Morgan Gasior: Thanks for your interest.
Operator: Thank you.  And we have a follow-up from Manuel Navas of D.A. Davidson & Company. Your line is open.
Manuel Navas: Actually, most of my questions are answered, but I just wanted to, I guess, circle back up on the expense run rate. I think you gave some good color on some of the puts and takes and some of the new hires. Do you stay -- you think you could stay in that $10 million plus or minus $250,000 quarterly run rate range even with potential hires?
F. Morgan Gasior: Yes.
Manuel Navas: Alright. That was my only follow up. I appreciate the time today. Thank you.
F. Morgan Gasior: Thank you.
Operator: Thank you. And we also have a follow-up from Jamie  Gaza. Your line is open.
Unidentified Analyst: Yes thank you. Just on the top of expenses again. So a metric that I look at actually at the bank level is revenue per FTE and expense per FTE. And certainly, with the growth in our revenue compared to like September 2021, for example, the growth -- your revenue has exceeded the expense growth, but you mentioned some of the things that you may do at the branches that may increase expenses, is there any thought around using automation or some things to try to bring those expense levels down to help the overall efficiency ratio by also reducing expenses? Part of you mentioned that was the occupancy.
F. Morgan Gasior: Well, I'd say a few things. One, automation itself is not cost free. The software companies and the vendors have taken every opportunity they can to pass costs through, especially when they can justify it with inflation and other things. So right now what we're trying to do in certain ways is get customers to use the existing automation we have. And then we've seen some success. If you look at our investor presentation, 90% of the transactions we conduct are some form of electronics. But that being said, we have a substantial number of customers that are extremely valuable core deposit customers that like to the branch environment, they need the branch environment. They're the most comfortable with it and we absolutely need to support those customers. So automation itself will not provide a tremendous benefit to expenses. In some ways, you're substituting people for automation but the trade-off is not that substantial in terms of the bottom line. Having said that, what we're also going to try to do is use technology and automation to expand the footprint of a given location. So traditionally, the trade radius around the branch, depending on the density of the location of population and traffic, it might be a mile in the city of Chicago, 2 miles might be broader in the suburbs. What we're going to try to do is use the automation to create a greater density of customers for the cost of a given location. And particularly so in the commercial space, where you could use remote deposit capture technology, you could put a better merchant processing product out to the customers, you can even use delivery services for inbound cash deposits or outbound negotiable instruments if they need that. All those things are possible that would extend the footprint of the branch for the same cost. So if you can keep your occupancy cost coming down to the best of your ability and then leverage the staffing in that facility through technology and create greater outreach and a greater density of customers and therefore, a larger branch put a larger branch deposits and even a little bit of fee income per branch. That's probably how we're going to best deploy technology on the deposit side. On the credit side, there are some opportunities to add some automation, particularly in the smaller credit space. Right now, I think we're taking advantage of it in the context we're working about as good as we can, but we are putting in some additional automation in the credit processing area for a more efficient processing of new credit originations on the commercial side, trying to do a better job of gathering information efficiently for loan reviews, which are a necessary component of portfolio management. But again, that technology has its own cost. And you still need qualified people to review the results and make sure we're documenting the analysis properly. So I'd say that's probably the more difficult challenge is leveraging technology appropriately. We have some opportunities to do so, would it make a 5% to 10% differential in the branch level expenses in the next 12 months to 18 months. I would say probably not much more than that at this point. If we just work on the occupancy costs that will probably be the bigger bang for the buck in the next 12 months to 18 months.
Unidentified Analyst: Okay. Thank you.
Operator: Thank you. And I am seeing no further questions in the queue. I would now like to turn the conference back to Mr. F. Morgan Gasior for closing remarks.
F. Morgan Gasior: Well we thank everyone for their excellent questions and interest in BankFinancial. We wish everyone good remainder of the summer and early fall. We will keep pushing ahead. We look forward to talking to everyone at the next conference call.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect, and have a pleasant day.